Operator: Good morning, and welcome to the Newmont Mining First Quarter 2015 Earnings Conference Call. All lines will be on a listen-only mode until we open for questions and answers. Today's conference is being recorded. If anyone has any objections, please disconnect at this time. I'd now like to turn the call over to Meredith Bandy, Vice President Investor Relations. You may begin.
Meredith Bandy: Thank you, operator, and good morning everyone. Welcome to Newmont's first quarter 2015 earnings call. Joining us on the call today are Gary Goldberg, President and Chief Executive Officer, and Laurie Brlas, Chief Financial Officer. They and other members of our Executive Team will be available to answer questions at the end of the call. Turning to Slide 2, please take a moment to review the cautionary statement shown here or you can refer to our SEC filings which can be found on our website newmont.com. And now, I'll turn it over to Gary, on Slide 3.
Gary Goldberg: Thanks Meredith, and thank you for joining us this morning. Newmont made a strong start to 2015 and I appreciate the chance to tell you more about our performance. In a nutshell, we continue to deliver safe and steady production at lower cost. We increased our free cash flow by nearly $400 million compared to the first quarter of 2014. We advanced projects in Nevada, Surinam and New Zealand and announced plans to build a new mine at Long Canyon and we continue to strengthen our balance sheet as the improved performance allowed us to prepaid debt and fund our best growth prospects. I will turn to Slide 4 to begin with safety. Safety performance is the best way to gauge the health of the business. A strong safety culture goes hand in hand with efficient operations and an engaged work force. We reduced total injury rates by 9% compared to the prior year quarter and two of our operations Akyem and Waihi have worked with auto reportable injury so far this year. We also had the lowest total injury rates among ICMM member companies in 2014. While these statistics show that we are heading in the right direction, we are not where we need to be. In January, a contractor named Brian Holmes suffered a fatal injury during a shaft maintenance work at Leeville in Nevada. Our thoughts are with Brian's family and his colleagues. We'll continue to work in our performance until we can send everyone home safely everyday. Let's turn to Slide 5 for quarter one highlights. Our strategy has proven successful and we’re continuing to follow through on our commitments. The first part of our strategy is to improve the underlying business. We lowered gold all-in sustaining cost for the third quarter running and by 18% compared to the prior year quarter. This was the result of sustained cost improvements and higher grades. Favorable oil price and exchange rates and some delayed capital that will spend later this year. We also kept gold productions steady quarter-on-quarter offsetting divestments. The second part of our strategy is to build the stronger portfolio. We reached commercial production at Correnso in January on-time and on-budget and we remain on schedule to deliver first production at our Turf Vent Shaft in late 2015, at Merian in late 2015 and at our newest project Long Canyon in 2017. The third part of our strategy is to create shareholder value. We generated 815 million and adjusted EBITDA a 65% increase compared to the first quarter of 2014 and prepaid $200 million in debt. We ended the quarter with nearly $2.6 billion in cash on our balance sheet and a net debt that is $1.4 billion lower than a year ago. Turning to Slide 6. We produced more than 1.2 million ounces of gold and 37,000 tons of copper in the first quarter of 2015. As I mentioned, this more than offset the impact of divesting Midas, Jundee and La Herradura. Performance was strong across the portfolio. Batu Hijau ended the quarter ahead of schedule as we mined higher grade Phase 6 ore. Twin Creeks' production was favorable due to higher autoclave recovery. Also note that consistent with prior years, mill 6 at Carlin will be down in the second quarter for planned maintenance. Akyem and Ahafo exceeded targets despite periodic shutdowns due to power availability which I'll cover in a moment. Boddington also made up for power interruptions resulting from wild fires in Western Australia. Finally, Waihi benefited from higher mill throughput and new production at Correnso. Our cost performance is also strong. Turning to Slide 7, we reduced gold all-in sustaining cost to $849 per ounce and kept them below $1000 at every one of our managed operations. I'll turn to Slide 8 to walk through the contribute factors. Our gold all-in sustaining cost improved by $185 per ounce from the prior year quarter. As you can see about half of this improvements stem from CAS reductions driven by better grades and recoveries, as well as sustained cost and efficiency improvements. For example, at Batu Hijau we reached high grade Phase 6 ore. At Twin Creeks we had improved grades throughput and recoveries. At Yanacocha higher grades and recoveries offset lower throughput and at Tanami improved mining rates led to higher throughput. Lower oil prices and a favorable Australian dollar exchange rate accounted for another 30% of our AISC improvements. Finally, 15% resulted from lower sustaining capital and advanced projects spend primarily due to timing. Turning to Slide 9. Before I hand it over to Laurie for financial results, I'll cover a few key opportunities and challenges. Later in the presentation, I will discuss Long Canyon, where we're taking advantage of 50 years of operating in Nevada and the expertise infrastructure and relationships that we have developed along the way to maximize value. Moving south to Merian, I'm pleased to report that construction is progressing on time and on budget. We have a good partner in the Surinamese government who is current on all cash calls and a highly energized team who has begun pre-production mining. In Indonesia, we received a new export permit and are having regular meetings with the new administration on the contracted work. Our teams in both Indonesia and Ghana are working to negotiate new labor contracts that continue to offer fair wages and benefits while supporting our ability to thrive and grow. Negotiations have been more challenging in Ghana but the National Labor Counsel has stepped into the process and we hope to reach an equitable agreement soon. The other challenge we face in Ghana has to do with power. Drought conditions, fuel supply shortages and diminished plant capacity are impacting Ghana's ability to generate power. In January the government imposed a 33% load shedding requirement on all industrial customers. We are in discussions with the government and other producers to explore power conservation alternatives to minimize disruptions. We have also implemented contingency plans to add temporary power generation capacity by July and permanent capacity by year end. As I mentioned, Ahafo and Akyem are meeting production and cost targets this year. With that, I'll turn it to Laurie.
Laurie Brlas: Thanks, Gary, and thanks everyone for joining us today. It was a strong first quarter for Newmont and I'm pleased with our performance. First turning to Slide 11, as Gary mentioned, we continue to see strong cost performance across the portfolio. Our first quarter cost applicable to sales per ounce and all all-in sustaining costs per ounce were both nearly 20% favorable to the prior year. These improvements drove free cash flow expansion as seen on Slide 12. We delivered $344 million in consolidated free cash flow in the first quarter and generated a $445 million improvement in cash from continuing operation compared to the year ago quarter, as cost savings more than offset the 7% drop in a gold price. Also included in our free cash flow was a tax refund of about $100 million received during the quarter. We've reported adjusted net income of $229 million in the quarter or $0.46 per share compared to $121 million or $0.24 per share last year. Adjusted EBITDA was up 65% from the prior year quarter benefiting from lower cost applicable to sales due to lower direct operating cost, lower fuel prices, a favorable Australian dollar, U.S. dollar exchange rate and lower exploration advanced projects and other expenses. We continue to fund dividends from free cash flow, and early this week our Board approved a quarterly dividend of 0.025 per share in line with our gold-linked dividend policy. Turning to Slide 13, we'll walk through the Q1 net income adjustments. The largest adjustments to our GAAP net income during the first quarter included a $0.06 per share gain related to asset sales, $0.07 per share related primarily to impairments of our marketable securities, and a $0.09 per share adjustment related to tax valuation allowances that's coming from foreign tax credit. After reconciling for these items we reported adjusted net income of $229 million or $0.46 per share for the most recent quarter. And now turning to Slide 14, in today's metal price environment we continue to enhance our financial flexibility. At the end of the first quarter our investment grade balance sheet had approximately $2.6 billion in cash and equivalent, a $3 billion revolver and roughly $200 million in marketable securities. On a consolidated basis that's nearly $6 billion of liquidity. During the quarter we elected to prepay $200 million towards our existing term loans that matures in 2019. With this most recent prepayment we have delevered our balance sheet by roughly $300 million since last November. Slide 15 illustrates our scheduled debt maturities. As you can see we do not have any significant debt due until 2019. We maintain an investment grade rating in metrics and our net debt at quarter end was approximately $3.9 billion, and improvement of $1.4 billion compared to the prior year. During the first quarter, we also extended our revolver. It now runs through 20/20 giving us significant flexibility. Our revolver has a single financial covenant, maximum net debt to book capital of 62.5% and we stood at 22.7% as of March 31st. We will continue to analyze opportunities to pay our liabilities in advance. We are on track to pay down $750 million of debt by year end as always any payment of debt will be analyzed in the context of our cash position, operating performance and business environment. And now turning to Slide 16, our work to delever the balance sheet and improve our underlying business separates Newmont from the competition. As this Slide indicates, our net debt to EBITDA has improved steadily over the last year and outperforms our competitors. Looking forward, we expect this ratio to improve even further. To summarize, we're comfortable with the relative level of our debt and our maturity profile, but we continue to look at ways to reduce the absolute debt level and safeguards the long term viability of the business. And now, I'll turn the call back over to Gary.
Gary Goldberg: Thanks, Laurie. I'll shift gears now to cover outlook. Turning to Slide 18, we're maintaining our long term guidance which calls for gold production increase from between 4.6 million and 4.9 million ounces in 2015 to between 4.7 million and 5.1 ounces by 2017. In North American we expect gold production to increase over the three-year period as we complete the Turf Vent Shaft and enter a period of lower striping at Carlin. Long Canyon Phase 1 represents additional upside in 2017 that is not included in this guidance. We're managing our Austria, New Zealand and Indonesian asset as a single Asia Pacific region in 2015. At Batu Hijau we forecast steady gold and copper production increases through higher grade Phase 6 ore, and higher gold grades and productivity at Tanami. In Africa, we expect production to decline primarily lower grade ore at Ahafo and we're accessing and we're accessing Ahafo Mill expansion to help offset that trend. In South America, production is forecasted to decline in 2015 and 2016 before rising in 2017, as the impact of maturing operations at Yanacocha. We're also working on an integrated approach to developing oxide and sulfide deposits that could extend profitable production at Yanacocha. Our guidance also calls for continuous costs improvement. Turning to Slide 19, we remain on track to meet our near term outlook for gold and copper costs and to keep gold all-in sustaining cost below $1,000 per ounce at our managed operations. Our global outlook remains the same, but we've made some changes at the regional level, specifically we are lowering our 2015 outlook for the Asia Pacific region by about 3% and keeping with favorable oil prices and exchange rates. This is offset by a slight cost increase in Africa as we address the power shortages. Our cost could further benefit from favorable energy prices and foreign exchange rates. Our current outlook assumes the Australian dollar at $0.85 for the U.S. dollar and oil at $75 per barrel. Every $10 reduction in oil price implies a $30 million improvement in annual attributable free cash flow. Similarly, every $0.05 favorable change in the Australian dollar exchange rate results in a $60 million improvement in annual attributable free cash flow. These estimates exclude current hedge programs. Taking a thoughtful approach to managing sustaining capital, turning to Slide 20, we're maintaining our long term outlook for sustaining capital cost between $850 million and $950 million per year. Our updated 2015 outlook now includes increases to develop Long Canyon and to secure additional power generation in Ghana. We expect to spend about half of our Long Canyon capital estimated between $250 million and $300 million in 2015 and most of the remainder in 2016. We'll keep you posted on any changes as we reach decisions on other new projects. Turning to Slide 21, we create value by discovering, developing and operating profitable gold mines, and we've improved our ability to do that optimizing our project pipeline and bringing our best projects forward in a measured and sequenced way. I'll highlight a few of our projects. We're completing the liner for Turf Vent Shaft and have begun install surface facilities. This keeps us on track to reach commercial production later this year. We're progressing construction of Merian on time and on budget. Detailed engineering is about 75% complete and our project workforce numbers nearly 1200 people. We expect to produce between 400,000 and 500,000 ounces of gold at all-in sustaining cost of between $650 and $750 per ounce for the first five years beginning in late 2016. In Australia, we expect to reach an investment decision on our Tanami Expansion project later this year. The project involves building a second decline in the underground mine and incremental capacity in the plant to increase profitable production and extend mine life. The Tanami Expansion could add incremental gold production of 100,000 to 125,000 ounces per year at lower overall cost for the first five years. If approved we would expect to realized full production and cost improvements in 2017. In Ghana, we're evaluating an expansion of our existing Ahafo Mill to offset the impact of lower grade ore. We expect to reach a decision latter this year and see the potentials to add 100,000 to 125,000 ounces of productions at competitive cost in 2017. Our newest project to meet our investment criteria is Long Canyon. Turning to Slide 22, Long Canyon represents a new and highly perspective oxide gold district in Nevada. We are approaching development as an extension of our existing operations. Taking a phased approach to developing Long Canyon gave us the means to lower development capital to between $250 million and $300 million which generates an internal rate of return of about 17% at current gold prices. Project highlights include gold reserve of 1.2 million ounces at an average grade of 2.29 grams per ton. This grade compares favorable to the average of 0.7 grams per ton for similar projects in North American. Annual gold production of between 100,000 and 150,000 ounces over an eight-year mine life beginning in early 2017, and cost applicable to sales are between $400 and $500 per ounce, and all-in sustaining cost of between $500 and $600 per ounce over the life of mine, which is in the lowest cost quartile for gold production. Looking further up the pipeline at our exploration prospects on Slide 23, exploration is the core competency and forms a critical part of our strategy to lead the gold sector and value creation. Our program focuses on increasing our existing resource base while maintaining the ability to pursue significant new discoveries. Long Canyon is a great example. We currently have four drill rigs operating onsite, two for in-fill drilling and two for exploration, to assess our best mining and processing options and inform our approach to the next phase of development. To-date only oxide mineralization has been identified over a three mile strike length that remains open in all directions. Oxide ores [ph] are of course synonymous with lower processing cost. It will be another three to five years before we are ready to make a funding decision on this next phase and we'll keep you posted on our progress. Other exploration projects that hold the potential to add production in the medium horizon include the Subika underground in Ghana which would give us access to ore grades that are significantly higher than the surface. Northwest Exodus in Nevada and extension of the Exodus underground mine which would add profitable production and Kacher Maine which is part of the oxide expansion effort at the Yanacocha. I'll wrap up our comments with the look at where we're taking Newmont into the future. Turning to Slide 24, we're off to a strong start in 2015 and with every quarter we are moving closer to our goal to lead the goal sector in value creation. Looking forward, we will continue to execute our strategy to improve our underlying business by continuously raising our safety cost and technical performance. To strengthen our portfolio by building a longer life, lower cost asset base and to create shareholder value by generating cash and continuing to strengthen our investment grade balance sheet. Thank you for your time. I'll now open the floor to questions.
Operator: [Operator Instructions] Our first question comes from the line of Mr. Andrew Quail from Goldman Sachs. Sir, your line is open.
Andrew Quail: Good morning, Gary, Laurie and team. Congratulations on a very, very strong quarter. A couple of questions from me. First, at Batu, excellent quarter. Obviously, we're going through the phase 6 ore, as you suggested, Gary. When we look at throughput and grade, is this like the benchmark this quarter, or do you expect further improvements from here going forward into 2015?
Gary Goldberg: At this point I'd expect us to see some improvement later in the year, most likely in the third quarter, Andrew, but we're really as you saw on the first quarter we just got into it, it will pick up in the third quarter and then be steady going forward.
Andrew Quail: Great. And one on Merian. Obviously, you received some money from the Suriname government. When do you expect to receive the balance of that?
Gary Goldberg: We received all of the moneys for the initial acquisition of their 25% interest, basically the end of last year, and we made cash calls on a regular basis and that continues. Basically based on what our spent is each month. They make their proportion of the cash calls along the way, so basically they're right up to speed as we go forward.
Andrew Quail: Great. And maybe last one, more on strategies, with Turquoise Ridge, you guys obviously earn 24%. What you see for Newmont going forward? Do you guys have a strategy to maximize that investment?
Gary Goldberg: Yes I think from our standpoint we'll continue to work with our joint venture partner to see how we can best achieve the best value overall for the parties out of that investment. We currently have an agreement to process the ore from the mine at our Twin Creeks facility and we're looking at how we can make sure that we get the best mix going forward between both operations and value for both parties.
Andrew Quail: Thanks very much Gary.
Gary Goldberg: Thanks, Andrew.
Operator: [Operator Instructions] Our next question comes from the line of Mr. John Bridges of JPMorgan. Sir, your line is open.
John Bridges: Congratulations, Gary, Laurie, on the results. Just to dig a bit deeper into Batu Hijau. The last time you were in the good stuff there, you had issues with access because of rain, the pulling at the bottom of the pit. How can we model access to this high-grade material over the next two, three years? Are there going to be periods in the monsoon when you're not going to be able to access that and you're going to use stockpile material?
Gary Goldberg: As we put together our plans here as we're into the higher-grade material over the next three years we've taken into account periods when we may not have access and I say, may, because for instance this year we're about 150 feet lower in terms of the water level than what we expected, because we had lower rainfall and we've installed some additional pumping capacity to help us along the way. So, next year we would have a period, and as we get into the next year we'd give more detail as to when specifically you could expect it, but we'd have a bit of a period in 2016 and then a little bit in 2017. Just fall, when we'd expect to be working in higher areas of the pit.
John Bridges: Okay. So we can expect, this sort of grade or better each quarter of this year?
Gary Goldberg: Yes. This year we're basically through the rainy season that starts later this year and we're in good shape for this year.
John Bridges: Okay. Well done. On Yanacocha you mentioned initiatives down there, could you elaborate a little bit on that? Thank you.
Gary Goldberg: Sure. We're looking, I guess, the word would be holistically at a number of different projects that include potentially the bioleach where we continue to go through testing for at least another year or so to confirm the economics and the value of that portion. The other elements are how we can carry forward primarily the Verde deposit but there is other deposits there that contain gold and copper and either producing a copper-gold concentrate and selling that or potentially further processing that on site whether it’s through an autoclave or some other concentrate leach process. We’re looking at basically all these options to extend both oxide and sulfide life at Yanacocha and look to be in a position, I’d say later next year to make a decision on which path or paths make the most sense to develop.
John Bridges: There seems to been better performance from some of these leach process that is down in sea level compared to high altitude. Have you tried out some of these things or altitudes?
Gary Goldberg: Yes. That’s one of the things we’re taking into account as we look at it. Whether we would want to locate those facilities somewhere else or do it at altitude.
John Bridges: Okay. Good luck with that and congratulations again. Thanks Gary and Laurie.
Gary Goldberg: Great. Thanks John.
Operator: Thank you very much. Our next question comes from the line of Mr. Brian MacArthur of UBS. Sir, your line is open.
Brian MacArthur: Good morning. I just want to go back to Batu Hijau to just given the timing of shift of Freeport ramping up at Gresik but now you’re obviously in the high grade ore over the next three years. Do you see any challenge of it being able to place that concentrate from Batu Hijau because obviously they were pushed back from originally picking in 16 and 17. I just want to make sure you don’t see any problem placing all that concentrates so then it gets taxed at a higher rate outside of not going to Gresik.
Gary Goldberg: Well. It’s actually a smaller percentage Brian of our concentrate that does goes through Gresik, we try to put as much as we can but the rest goes to export and with that we have no problem placing that concentrate. I think working through we’ve got the extension on our export permit which allows us to you need to export through the basically towards the end of September and we’re working actively now with the government to pin down the changes on the contract of work get those agreed so that we can get into a process and of more certainty in terms of what goes on when each of these six month extensions come up.
Laurie Brlas: The cost of the export duty is built into the guidance that we have given as well.
Brian MacArthur: Okay. That was my next question. Just roughly like how much goes to Gresik is obviously it makes up huge difference going forward as we get into this high grade, is it like 10% or 20% of it that goes there roughly just for my modeling purposes?
Gary Goldberg: Yes I’m going to have to follow up to give you an accurate answer on that one. I just don’t recall it. It’s been a little higher this year than what we anticipated for reasons you’ve seen in terms of other supplying to Gresik and we help to fill in this lack.
Brian MacArthur: Right. Okay but if that happens that is just kind of option value upside rates to go through – they only pay the export tax.
Gary Goldberg: That’s correct.
Brian MacArthur: And just on Turquoise Ridge, can I just confirm and I can’t remember I should know but just your deal to process Turquoise Ridge at Twin Creeks. Is that like for the current size mine that is to say if that were expanded substantially. Do you still have that right it all has to be work through there? How that actually work?
Gary Goldberg: Basically we’ve got an agreement that runs through 2018 to process the ore and we’re working with them in terms of how we’re looking at potential expansions at Turquoise Ridge to increase their throughput how we would process it. But we clearly have the processing capacity at Twin Creeks to be able to handle some additions.
Brian MacArthur: Great. Thanks very much, Gary.
Gary Goldberg: Thanks Brian.
Operator: Thank you very much. Our next question comes from the line of Brian Yu from Citi. Sir, your line is open.
Brian Yu: Great thanks. Hey Gary, Laurie. Question is just on Ghana and then the permanent power that you’re going to install there, when it’s fully running how much of the power are you going to source captively versus from the grid. Is there going to be a meaningful change in your power cost?
Gary Goldberg: I’m going to have Chris Robison, our Chief Operating Officer to cover up some of the details around the power capacity.
Chris Robison: Yes right now the plan as Gary mentioned earlier is by mid-year we will have temporary power in place which will provide – which will fill this gap for the 33% load shedding and then by year end, we will have permanent capabilities in place to offset the 33%. Obviously if power generation in country increases or starts returning to normal levels then we would back off on our generation. So cost impact is about $10 million or $11 million a year and additional cost with our own generation.
Brian Yu: Okay, so you’re going to have the spare capacity in case you still get this 30% load, but then it is higher cost. So – to pull more from the grid, you will do that in just.
Gary Goldberg: Absolutely yes.
Brian Yu: Okay. And then so is this – how should we think about this load shedding. Do you see this one-off type event. Or is it going to impact your decision on somehow with the Ahafo mill expansion?
Gary Goldberg: It’s a good question Brian. As we look at both the Ahafo mill expansion and the Subika underground, we’ve got to assess the power availability, question it’s an issue that needs a longer term solution, we’re working with the government and we’re looking at different options because ultimately it needs more reliable capacity. Clearly it’s a drought that has affected some of the availability. So getting back to normal conditions will help there, but that takes – that won’t happen in a period of month, that could take through next year to see that sort of a change. We will take that into account as we look at the economics of these expansions and that will be an element that will have to make sure we address as we bring those forward for approval.
Brian Yu: Okay. All right, thank you.
Gary Goldberg: Thanks Brian.
Operator: Thank you very much. And our next question comes from the line of Ms. Tanya Jakusconek from Scotiabank. Ma’am, your line is open.
Tanya Jakusconek: Great, thank you. Good morning everyone and congratulations on a good quarter. Just wanted to come back to two operations, Yanacocha and Ahafo. Maybe Gary, can you talk a little bit about what you see happening at Yanacocha in the next couple of years? I think you mentioned that you definitely see production declining and if we don't go ahead with some of those options that you talked about, when do we start getting into the stockpile? That's my first question.
Gary Goldberg: Yanacocha and thanks Tanya for the question. Right now under current production we're kind of this is the last peak year in roughly million ounce per year. Next year not quite half it's about 600,000 consolidate ounces. We maintain that for the next 2 to 3 years after and then 2019 were down into basically going through the leach pads and what's remaining if we are to do nothing else. So that's the current basically base case scenario.
Tanya Jakusconek: Okay. And then I guess [Kinshasa] [ph] we just seem to forget about that for now?
Gary Goldberg: Kinshasa is still a resource that’s there, but as we continue to do with Conga and continue to work in that whole region to improve our social acceptance that is clearly one that didn’t have the social acceptance and we took a step back there and would require those changes as well before we consider it.
Tanya Jakusconek: Okay, and may be moving to Ahafo. I mean you had a very strong Q1 and even if you look at the upper end of your guidance for operations you’re really looking at production fall into may be 77,000 ounces of quarter. Is this all going to be grade related or is there something else in the mind plan may be you’re just being conservative, I don’t know may be just talk about how you see the operation through the year?
Gary Goldberg: Basically in, I can have Chris chime in here as well. But we do see the grades declining through the course of the year. And so that's what we've laid out in terms of our guidance at this stage. And that's why we're looking at these expansion projects of the Ahafo mill and the Subika underground to be able to help offset the lower grade going forward. Chris we got it covered.
Tanya Jakusconek: Yes I just wanted to make sure that the great decline started in sort of Q2 or do you see yourself being a little bit and then sort of tapering off towards the end of the year, I don’t know.
Gary Goldberg: I think specifics we would see, we are starting to get into some of that lower grade. I think the other piece is just whether anything changes around the power situation. Right now, we’re still running the basically six days on, two days off sort of a process and working through that.
Tanya Jakusconek: Okay. And then just my last question is really on M&A and I think we went through your balance sheets getting stronger and stronger. You got a lot of liquidity available may be you could touch a little bit on your M&A strategy. You have a lot of internal growth that you can push forward, but how do you balance that versus externally?
Gary Goldberg: I think clearly we've got as you acknowledged a very good internal pipeline. We've got the best understanding of those deposits and their potential and we're able to time how we bring those forward in an effective way. You’ve seen how we’ve handled the cash by paying down debt and also looking to carry forward the best projects. M&A and how it fits, we kick the tires on things and look them over and if we see an opportunity that would add value to our shareholders, we will pursue that.
Tanya Jakusconek: Is the focus more on early stage development or are you looking at producing assets?
Gary Goldberg: At this stage, I really tend to focus more on producing or close to producing types of assets.
Tanya Jakusconek: Okay.
Gary Goldberg: I should say gold assets.
Tanya Jakusconek: Yes, okay thank you. It’s just easy to mix with gold and our copper focus. Our gold copper would that still be a focus?
Gary Goldberg: Gold primarily copper gold or gold copper would still fit within there.
Tanya Jakusconek: Okay. And maybe the potential to pay down $750 million in additional debt this year. What minimum cash balance would you keep on the balance sheet for you to be able to do that?
Gary Goldberg: I’m going to have Laurie pick that one up.
Laurie Brlas: Sure. I think clearly we would get down below $2 billion maybe a $1.5 billion to $2 billion we would try to keep on the balance sheet to make sure that we have coverage and we aren't bringing things back to we don't need to.
Tanya Jakusconek: Okay. So if we were to just think about it conceptually whatever the gold price will be you know if there aren’t any opportunities for M&A or other investment we can just keep paying off that $219 debt, but keep the cash balance of $1.5 billion to $2 billion would that be fair?
Laurie Brlas: Yes. That would be fair and we will also be paying down. We have some project levels that in Indonesia and that's also targeted for this year, we would hope to pay some of that down as well. And as Gary mentioned with certain projects in places like Peru and Ghana, we would probably rather leave the cash there and redeploy it on projects if we see that in the near term basis rather than bringing it back and paying down debt.
Tanya Jakusconek: Okay. But of the $750 million potential repayment would the majority of that be what was due in 2019?
Laurie Brlas: Most of it will be the term loan yes.
Tanya Jakusconek: Okay, perfect. Well thank you very much and congratulations.
Gary Goldberg: Thanks Tanya.
Operator: Thank you very much. Our next question comes from the line of Jorge Beristain and he is from Deutsche Bank. Sir your line is open.
Jorge Beristain: Hi, good morning, Gary and everybody. And again congratulations on the strong results and I think we're really seeing a differentiated performance in your stock vis-à-vis your peers in the last two years which reflects that. My question is really on the guidance. So it seems that your cash cost guidance is still maintained in the 660 to 710 range for full year 2015. You printed 609 in Q1 obviously there's some great issues going forward, but it seems you're being fairly conservative there. So could you just talk about around those numbers and why we’re seeing such a sort of implied steep ramp in the rest of year or is it simply conservatism?
Gary Goldberg: Thanks. Thanks first of all for your comments, Jorge very much appreciate the recognition. On guidance, what we've done we've stuck basically with where we were in the original guidance for the year here at Q1 and given - you see the portion of that that comes from the oil and FX, so you can make those adjustments. I wanted to emphasize that we will be making the spend on the capital, so people don't start modeling a lower amount there. Think in terms of the overall performance what we'll do at the mid-year is take a step back and just make sure it's fully reflective of what we've experienced through the first half of the year. So we just figured rather than trying to make a big adjustment on the cost numbers we're comfortable with where productions coming in. Let's adjust that. We've made a little tweaks in Africa to account for the power and the tweaks in Australia for what we've seen on changes in oil and exchange rate but we look as we give the second quarter results to update the rest of our guidance.
Laurie Brlas: As Gary pointed out, the oil and FX that we experienced year-to-date we haven't brought those down to the level that we’ve seen year-to-date. So that's definitely something that you could model into your numbers and get to a lower number than what we are currently sitting at.
Jorge Beristain: Right. But that does seem to be roughly 100 million-ish if one was to mark-to-market on an annualized EBITDA basis so didn't see that material, but where it's lacking. My other question was also just on the moving forward on Indonesia and we heard some comments from Freeport yesterday on their call that the amount of equity investment in a smelter would be really paired back in and also very much back end loaded to the second half of this decade. Could you comment as to where you stand now having had your export license renewed in terms of actually being an equity investor in a potential smelter out there, because it does seem to be a fairly diminimus amount of potential equity and if you’re involved in talks with Freeport to contribute capital they have mentioned many partners are talking with them and if you could just comment on that?
Gary Goldberg: Yes, would probably be considered one of those many partners with the different view, because we bring concentrate into the mix. Our position has been we don’t stand in a good position to build the smelter. We support the country's policy on in country smelting, we work with Freeport or others, because we’re talking with the few other parties that are looking to build the smelter. When you look at our production profile, you see over the next three years there's a peak and then we go through a low range before we would get into phase 7 out in the 2022, 2023 timeframe and that’s when having a smelter would be of more impact to us since we go through the phase 7 or so. We’ll continue to keep people updated as we work through those various discussions and also work through with the government I’ve had - I should comment I was out in Indonesia last month and had a number of meetings with different government officials and I was pleased for meeting with government officials in any country. When you have meetings that start on time and I think what I heard there and what I saw demonstrated in the extension of our export permit what people say they do commit to and it’s good to see. They’d like to see things wrapped up on this soon so would we, but there’s complexities to work through that we’ve got to get completed.
Jorge Beristain: Great. Thank you.
Gary Goldberg: Thank you, Jorge.
Operator: [Operator Instructions] And at this time there are no further questions. I would like to turn the call over back to your host. You may proceed.
Gary Goldberg: Thank you. Thanks again for joining our first quarter earnings call. Our team continues to drive stronger performance across the portfolio sustaining the cost improvements we’ve achieved over the last year progressing new ways to work more efficiently and generating nearly $400 million in free cash flows. This performance has given us the financial flexibility we need to pay down debt, expand our existing operations, open perspective new districts, and create value for our shareholders. With that, I’ll close the call and wish everyone a good weekend. Thank you.
Operator: And that concludes today's conference. Thank you all for participating. You may now disconnect.